Operator: Good day, ladies and gentlemen. And welcome to the Quarter Four 2013 NiSource Earnings Conference Call. My name is Patrick, and I'll be your coordinator for today. At this time, all participants are in listen-only mode. Later, we will facilitate a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Glen Kettering, Senior Vice President, Corporate Affairs. Please proceed, sir.
Glen Kettering: Thank you, Patrick, and good morning, everyone. On behalf of NiSource, we’d like to welcome you to our quarterly analyst call. Joining me this morning are Bob Skaggs, President and Chief Executive Officer; Steve Smith, Executive Vice President and Chief Financial Officer; and Randy Smith -- Randy Hulen, Managing Director of Investor Relations. As you know, the focus of today's call is to review our financial performance for the fourth quarter and full year of 2013 and to provide a business update as we enter 2014. We'll then open the call to your questions. At times during the call, we'll refer to the supplemental slides available on nisource.com. I'd like to remind all of you that some of the statements made on this conference call will be forward looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the MD&A and Risk Factors sections of our periodic SEC filings. And now, I'd like to turn the call over to Bob Skaggs.
Bob Skaggs: Thanks, Glen. Good morning, everyone, and thanks for joining us. As we noted in this morning’s release for NiSource, 2013 was another year of solid execution, notable achievement and industry leading growth in shareholder value. On our call today we’ll highlight a number of these achievements and discuss how they position NiSource for continued growth in 2014 and beyond. Then Steve Smith will review our financial highlights. We will also provide updates on key initiatives, outline our 2014 earnings and capital investment guidance, and then of course, we will have plenty of time for your questions. With that agenda in mind, let’s get started with some key 2013 takeaways. These are listed on slide three in the supplemental deck that was posted online this morning. As you can see our team continued to execute on NiSource’s well-established strategy, generating long-term growth through disciplined infrastructure investments supported by complementary commercial and regulatory initiatives. Notably, our team delivered earnings in line with our guidance for the seventh consecutive year and we produced total shareholder return of 36%, which outperformed the broader utility indices by a wide margin for the fifth consecutive year. The foundation of this progress continues to be our deep inventory of long-term accretive modernization and growth investments that investment inventory exceeds $30 billion and continues to grow. During 2013, our teams delivered against this inventory by executing on a record $2 billion capital program that includes key system modernization, growth in environmental investments. We saw clear evidence of the value of these investments during this winter's extreme cold weather. Our service territory has been particularly hard hit and our systems have been tested at historical levels. I'm pleased to report that the system and our teams have performed extraordinarily well. The key factor in that success was our ongoing commitment to fundamentally strengthen and modernize our core infrastructure. Unfortunately, despite this strong performance, we had an incident on the Columbia Gulf system in Adair County, Kentucky last week, while we are able to meet our commercial commitments, we are disappointed the incident occurred. We've been working closely with them to determine the cause. In parallel with that review our immediate priority is to address the needs of those affected in the surrounding community. With that, let's turn back to the key takeaways, one of the core pillars of our growth strategy is NiSource’s thoughtful and disciplined financial approach. During 2013, we further strengthen NiSource’s financial foundation and maintained our strong liquidity position, and I am pleased to note that we did so while also providing about a 4% increase our dividend. In addition, just a few weeks ago Moody’s upgraded NiSource’s investment-grade credit rating to Baa2 from Baa3 noting the significant regulatory advancements across our company. We’ll touch on our financing strategies and core commitments again a bit later but suffices to say we are well-positioned to continue delivering strong performance and steady growth in 2014 and beyond. With those highlights, I will now turn the call over to Steve Smith to take a look at our financial results on page four of the supplemental slides.
Steve Smith: Thanks, Bob, and good morning, everyone. As Bob mentioned, by any measure the NiSource team delivered strong results in 2013. We generated annual non-GAAP net operating earnings of about $494 million or $1.58 per share. That was at the upper end of our guidance range, compares with earnings of about $426 million or $1.46 per share in 2012. On an operating basis, NiSource was up about $77 million when compared to 2012. On a GAAP comparison our income from continuing operations was about $491 million for 2013 versus about $409 million in 2012. At the segment level, you will see that each of our three core business units delivered solid earnings growth. Columbia Pipeline Group or CPG delivered operating earnings of about $441 million, compared to about $398 million in 2012. CPG’s net revenues excluding the impact of trackers, we’re up about $59 million, primarily as a result of 2012 impacts from our system modernization customer settlement. We also saw increased revenues from new growth projects and higher royalties from mineral rights. Earnings were also up for NIPSCO’s electric operations where earnings came in about $265 million, compared with about $238 million for 2012. Net revenues, again excluding the impact of trackers were up by about $38 million, primarily due to an increase in environmental investment cost recovery and higher industrial and commercial margins. And finally, our gas distribution business delivered about $449 million in operating earnings, compared to about $438 million for the prior year. Net revenues, again excluding trackers were up about $77 million, primarily due to regulatory and service programs related to our infrastructure placement efforts. All in all, another solid quarter in year, with full details available in our earning release posted online this morning. Turning to slide five, I’d like to quickly touch on our financing and liquidity highlights. As Bob noted, our liquidity position remained strong at approximately $1.6 billion as of the end of the fourth quarter. We took several steps to strengthen NiSource’s financial foundation during 2013. This included issuing $1.25 billion of 30-year debt at attractive rates and our team also increased the size of revolving credit facility by $500 million to $2 billion and extended its terms until September of 2018. Overall, we ended 2013 with the debt to capitalization of 60%. As Bob mentioned, another significant milestone, Moody’s recently upgraded our credit rating to Baa2 from Baa3. In December, Fitch rating affirmed our credit rating of BBB minus and we anticipate hearing from Standard & Poor in the next few weeks. Looking ahead, our financial strategy continues to be strong, sustainable and fully-aligned with a robust long-term capital investment outlook. With that, I’ll turn the call back to Bob to cover our business unit initiatives and our 2014 guidance.
Bob Skaggs: Thanks, Steve. Before opening the call to questions, we will quickly hit on some key marker across each of our business units. Let’s start with the CPG highlights on slide six. Our CPG team continues to deliver on all fronts, from modernization to midstream to regulated pipeline growth projects. From a modernization standpoint, I’m pleased to note that we received FERC approval in late January for recovery of CPG’s first year of modernization investments. That -- that included more than 30 projects representing a total investment of about $300 million. We started recovery on those investments on February 1st. Meanwhile, our CPG team is fully engaged in this year's modernization program which includes another $300 million in investment. As you know, our customers have agreed to the initial five years of the program with an opportunity to mutually extend that agreement. Overall we indemnify the total modernization opportunity of more than $4 billion. In the late breaking news category, I'm pleased to announce that CPG has entered into binding precedent agreements for a major new project, the Cameron Access Project. In addition, the upgrades on the existing Columbia Gulf System in Southern Louisiana, this project involves construction of the new pipeline connecting the gulf system with the planned Cameron LNG Terminal in Southern Louisiana, which received Department of Energy Export approval just last week. This is a $300 million plus investment for CPG that will connect numerous shale basins to the LNG export facility. The Cameron Access will have an initial capacity about 800,000 dekatherms per day. It is expected to be in service by the end of 2017. Meanwhile CPG’s midstream team is continuing to capitalize on our strategic position in the Marcellus and Utica regions. In December, we began operating Hickory Bend gathering and processing facility in Eastern Ohio. You may recall that project will provide about 600 million cubic feet per day of new gathering capacity and about 200 million cubic feet per day of processing capacity in that region. Our team also is moving forward with other related facilities in the Hickory Bend area, including a separate natural gas liquids pipeline that connects to the Hickory Bend plan to the UEO Kensington facility in Columbiana County, Ohio. Starting in the third quarter this year, the line will ultimately deliver up to 90,000 barrels of liquids per day. As a reminder, these projects are part of our joint venture with Hilcorp Energy. Speaking of Hilcorp, our joint resource development arrangement in the Utica is moving forward consistent with our plans. 20 wells are now in various stages of drilling and another 10 wells are currently in production. We remain encouraged that the initial production flows are consistent with some of the better flows reported in the area. Drilling activity will continue to accelerate in 2014. We anticipate that beginning this year we will be completing 25 to 30 wells annually. All in all, it's very much in line with our expectations and strongly supportive of our complementary infrastructure investments. As a reminder, the production is dedicated to the Pennant Midstream gathering and processing facilities. Shifting to the Marcellus region, NiSource Midstream recently entered into an agreement with Range Resources to provide firm transportation services on the Big Pine gathering system, which was placed in service in April 2013. The agreement provides for transportation of up to 100 million cubic feet per day. As a reminder, the project was anchored with long-term gathering contracts with XTO Energy and Penn Energy. Big Pine is capable of transporting up to 425 million cubic foot per day of Marcellus production. Finally, a quick touch on several key supply and market-driven growth projects being advanced by CPG. In total, our team is executing on more than $0.5 billion worth of projects that will add about 1 billion cubic feet of capacity to our system over the next two years. Looking a little further out, this number doubles in investment and doubles in capacity. Most recently, the team received FERC approval on its Line 1570, Giles County projects that we previously discussed. We also recently completed a key portion of the West Side Expansion project when we reversed the flow on a portion of the Columbia Gulf System. That enables our 500 million cubic feet per day of shale gas to flow south from our Leach, Kentucky interconnect toward Rayne, Louisiana. CPG also successfully completed non-binding open seasons for two companion projects, the Leach XPress and the Rayne Xpress. Those projects would further connect shale production with markets on Columbia Transmission and Columbia Gulf. We’re currently in active discussions with potential anchor shippers and will keep you posted as these exciting projects move forward. As you can see, CPG team is executing on an impressive array of initiatives. Those efforts will result in a disciplined capital investment of about $800 million at CPG this year. Now let's shift to our Indiana electric business summarized on Slide 7. NIPSCO continues to advance the broad agenda of customer service, reliability and environmental improvements, just yesterday another vitally significant milestone for us, the IURC approved NIPSCO seven-year electric modernization plan, which encompasses approximately $1.1 billion of investments to modernize the electric infrastructure in Northern Indiana. Initial investments under this program will begin by mid-2014. NIPSCO’s $700 million gas modernization filing remains on schedule with the IURC, with the decision expected by midyear. Both the electric and gas plans are closely aligned with Indiana legislation, providing for timely recovery of qualifying modernization investments. Another significant milestone is the installation of the two new scrubber units at our Schahfer generating station. The first FGD was completed on budget and ahead of schedule late last year, and the second unit is on track for completion by the end of this year. Work has also started on third FGD project at our Michigan City station, that project is slated to be complete by the end of 2015. In total, more than $850 million in environmental investments are moving forward at NIPSCO. NIPSCO also is on track with two major electric transmission projects, a 100 mile, 345-kV line and 66 mile, 765-kV line. These projects together constitute an investment of approximately $0.5 billion for NIPSCO, and are anticipated to be in service by the end of 2018. All total, NIPSCO has an inventory of more than $6 billion in long-term investments that will benefit customers and provide a platform for economic development across Northern Indiana. During 2014, the capital investments in NIPSCO’s electric business will total about $450 million. Let's turn now to our Gas Distribution Operations discussed on Slide 8. Our Gas Distribution teams continued to steadily execute on their long-term $10 billion plus inventory of infrastructure programs. In fact during 2013, our Gas Distribution capital investments reached a record level at $790 million with the largest portion of that investment committed to modernization programs. Under those programs, our Gas Distribution teams replaced more than 360 miles of aging pipelines last year and as always, we paired those investments with complementary customer programs and regulatory initiatives. On the regulatory front, Columbia Gas Kentucky received approval in December for its rate case settlement. The company's new rates, which took effect December 29th, provide for an increased fixed customer charge and about $8 million in additional annual revenues. The rates support the company's ongoing modernization investments. The Columbia Gas Massachusetts rate proceeding also remains on track with the decision expected in new rates in effect by March 1st. You recall that CMA is seeking increase revenues of about $30 million to support the company's expanded modernization plans. Our distribution team also continues to execute on organic and market-driven growth opportunities. This includes development of a $15 million project that will serve a major Columbia Gas of Virginia industrial customer starting in late 2014. As part of the same project, Columbia Gas Transmission will separately invest about $25 million to extend its system to interconnect with Columbia Gas of Virginia. As we roll into 2014, we are confident our Gas Distribution team’s well-established approach for creating shared value for customers and key stakeholders will continue to deliver solid results. We target about $815 million of Gas Distribution capital spending for 2014, again, focused primarily on modernization and growth initiatives. Before turning to your questions, let's quickly touch on our guidance for 2014 and a couple of key takeaways. With over $2 billion in capital investments underway for 2014, we fully expect to deliver on our core commitments including consistently generating earnings growth in the 5% to 7% range over the long-term. For 2014, we expect to deliver net operating earnings within a range of $1.61 to a $1.71 per share non-GAAP. I’d also reiterate that we’ll execute on this proven strategy, while staying true to our well-established core commitments. We will maintain stable investment-grade credit ratings, strong financial liquidity and dividend growth in the range of 3% to 5% annually. As always, we'll communicate on all matters with importance in a transparent and timely manner through our analyst calls and news releases posted on nisource.com. Thank you for participating today and for your ongoing interest and in support of NiSource. Patrick, we can now open the call to questions.
Operator: (Operator Instructions) And gentlemen, our first question comes from the line of Paul Ridzon with KeyBanc. Please proceed.
Paul Ridzon - KeyBanc: Good morning.
Bob Skaggs: Hey, Paul, how are you?
Steve Smith: Good morning, Paul
Paul Ridzon - KeyBanc: Hi, thank you. Leaching rain, how big a capital opportunity is there?
Bob Skaggs: Assuming we can drive this home, it’s going to be a major, major investment. You can see that we have work on Columbia Gas Transmission that typically requires a relatively large investment. We’ll also be investing on Columbia Gulf and big scheme of things, that’s relatively small, expect the spends to be unfolding in ’16 and ’17, again assuming we can close these deals.
Paul Ridzon - KeyBanc: And then, just on the modernization besides your settlement, have you started talking about an extension of that and what’s the outlook to may be go above 300 when you do extend it, if you extend it?
Bob Skaggs: Well, like when we extend it. Paul, a little bit too early to get into those sorts of discussions with our customers and other stakeholders. Clearly we’ve only been at this year. We have been very pleased with the performance of the Columbia Gas Transmission system. We think the investments have shown their value to the customers. So we felt like we need to get one year of construction, hard winter under our belts, and another construction season in the ground. And then, it will be appropriate to begin discussions with the stakeholders. So stay tuned.
Paul Ridzon - KeyBanc: And lastly, just latest thoughts on some of the hurdles around forming alternative structure in MLP?
Bob Skaggs: Oh, the MLP? Yeah, this discussion will be consistent with our prior discussions. We still consider the MLP vehicle to be very viable for NiSource, it’s a viable approach, a viable option. We can’t continue to closely study it, closely work the consideration among the management team but also the board. Paul, I would add true to our form, it’s going to be a thoughtful, thorough sort of discipline consideration. We continue to indicate to you and others to expect the decision circa third quarter of 2014. And I would just make the observation, not coincidently, that’s about nine to 12 months in advance when we believe we will need equity or an equity alternative in 2015. So in the mean time, as you can tell the team is focused on projects development and our initiatives. So just stay tuned.
Paul Ridzon - KeyBanc: Excellent. Thank you very much.
Operator: Your next question comes from the line of Stephen Maresca with Morgan Stanley. Please proceed your line is open.
Stephen Maresca - Morgan Stanley: Hi, thanks. Good morning, guys.
Bob Skaggs: Hey, Steve
Stephen Maresca - Morgan Stanley: I had two questions on the quarter and one on growth. Can’t be apply the small drop in earnings and about $8 million in the quarter and you talked about really shorter-term -- decreases in shorter-term transportation services. How much impact was that in the quarter? And then an increase in other revenues in that segment, is that from midstream?
Steve Smith: Yeah, I would say -- this is Steve, I would say the decrease in revenues for -- net revenues for CPG was around the $5 million for the quarter. And midstream did drive some benefits to us, but again it was in the couple of million dollar range, nothing too significant.
Stephen Maresca - Morgan Stanley: Okay. And then looking in terms of throughput on Columbia Gulf, just want to understand you saw like a book to bill of 30% year-on-year decline in the numbers 4Q over 4Q. Can you just give us some more color there and what’s the outlook, is it somehow related to part of the West side expansion, reversing flow or what are we looking at with those numbers there?
Steve Smith: Yeah, Steve, I think in the macro sense, you are seeing what the entire industry is seeing with Marcellus and Utica that customers are relying less on Gulf region gas and they are relying on gas that’s in “The Northeast” and that’s what you are seeing and you are seeing Marcellus and others look at ways to repurpose, turnaround, go by directional on these long line pipes from the Gulf region to the market region. So we believe our efforts and example would be the West side which renders one of our line bidirectional. It’s a great example of what we are attempting to do to move gas north to south fully utilized Columbia Gulf. What Paul also mentioned the express is open season is really a variant on that as well, moving gas out of the Marcellus, Utica region to liquid points of interaction, west on the Columbia Gas Transmission and then all the way down the Gulf system. So it’s just a reflection of what’s going on in the market.
Stephen Maresca - Morgan Stanley: Okay. Appreciate that. And then final for me on Pennant Midstream, just the thoughts on the 600 million cubic feet a day of gathering, 200 of processing, in terms of how we should think about the volume ramp? And then sort of the reminder, are those capacities spoken for or are we expecting a volume ramp to get to those numbers over ’14 and into ’15 and does the same hold true for that NGL line?
Bob Skaggs: Hilcorp would be the primary driver of the initial phases of volume ramp. So they are really driving the project. Now are we looking at opportunities to bring additional volumes onto the Hilcorp or onto the Pennant System? That would be yes. But again I repeat Hilcorp is really the key driver in gathering volumes and the processing volumes. And Hilcorp’s intent, you see reflected in their drilling program. First things first, they want to fill up the 200 million a day processing facility. So that's what they're attempting to do first and foremost and as quickly as they can. And then phases two and three would be additional processing facilities of the Hickory Bend site. So that’s the game plan. And again if we’re successful in bringing additional volumes in our activity to Pennant, then you might see that schedule accelerated.
Stephen Maresca - Morgan Stanley: Okay. I appreciate it guys. Thanks.
Operator: Your next question comes from the line of Faisel Khan with Citigroup. Please proceed.
Faisel Khan - Citigroup: Good morning guys.
Bob Skaggs: Hey Faisel.
Steve Smith: Good morning Faisel.
Faisel Khan - Citigroup: Good morning. So wondered if you guys could discuss some of the taking place in the market over the last couple of months. I guess, there was a trade publication article talked about how Dominion was looking for a Midwest utility when it was raising capital to possibly buyout utility in Midwest. And at the same time, I guess, around the same time, I’m not sure if this is related or not. You guys change your change in control in termination agreements. So can you again discuss how you and the board are thinking about M&A. And if any of the stuff is related to sort of what’s out there in the market?
Bob Skaggs: Yeah, let me talk about the change control agreements. Every year as we expect the boards looking to change control agreements and what we did with those was simply to remove the gross up provision in those change of control agreements to make them contemporary or leading edge with good corporate governance. That was absolutely all that was involved in that. Again it’s an annual process that we do with the board or comp committee. Now rumors, as you would expect, we don't comment on rumors but maybe I can make couple of observations. Number one, we’re an $11 billion equity value company with I think extraordinarily strong standalone plan. So everything we do is kind of measured against what I think is a really, really strong, strong plan that we know we can execute on. And then the second observation is we’re always going to do the right thing for the shareholder. So that’s really all we can say about rumors and speculation and things of that nature.
Faisel Khan - Citigroup: Okay. That’s fair, I appreciate that. And then just going back to some of the comments around the Xpress projects, what’s the aggregate amount of capacity that’s contemplated on those? And would all that capacity be eligible to be reversed essentially out of the Marcellus, Utica down to the Gulf Coast markets.
Bob Skaggs: Well, again these are two companion open seasons activity on Columbia Gas Transmission. So in the market, in the Marcellus and Utica region and Columbia Gulf, our total capacities would be north of a Bcf a day.
Faisel Khan - Citigroup: Okay.
Bob Skaggs: As I kind of alluded to Paul, major projects assuming to goes forward, major projects assuming to goes forward.
Faisel Khan - Citigroup: The entire 1 Bcf a day would be able to make it to the Gulf Coast markets.
Bob Skaggs: A little south of that, all the way down to the Gulf, but again we’re looking at expansion opportunities on Columbia Gas Transmission, increase deliveries into Gulf. But then what ultimately moves south on Gulf would be more like $800 million to $900 million a day.
Faisel Khan - Citigroup: Okay. Got it.
Bob Skaggs: Just again, to give you the parameters and just to underscore, we are in discussions, situation is fluid, a lot of wood to chop to get from here to there what you guys sense that it's bigger than the bread box.
Faisel Khan - Citigroup: Okay. Last question, on your overall storage capacity in the Mid-Atlantic I guess and Midwest market. Are you seeing any sort of change in the demand for storage capacity in your area given all the production growth taking place?
Bob Skaggs: Well, our storage is fully contracted on long-term agreements, so we are absolutely sold out. And I think one thing that's constructive about this winter is how gosh darn valuables storage is of regardless what's going in the Utica and Marcellus and how valuable firm transport capacity is in this region. So, I think that it just underscores we think the value of the Columbia Gas Transmission system.
Faisel Khan - Citigroup: Okay. Great. Thanks Bob. Appreciate the time.
Bob Skaggs: Thanks.
Operator: Your next question comes from the line of Charles Fishman with Morningstar. Please proceed.
Charles Fishman - Morningstar: Thank you. If I could circle back at the MLP question again, I just want to make sure I understand that. The two hurdles you had discussed in the past were tax leakage and the lack of flexibility on the backside which we are waiting obviously we get some help from Moody’s. Is tax leakage still a concern that you are going to have to progress before that happens?
Bob Skaggs: Hey, just for clarity for everybody that’s listening, in the past, we’ve talked about investment grade credit, how sacrosanct that is and so we’ve been very mindful of credit considerations and anything that might be a negative on our credit. We have also talked about tax leakage because our assets are low basis assets. We have also tried to consistently indicate that we are working, studying, engineering on both fronts and that we have gotten more comfortable with credit considerations in general and we have also been more comfortable in ways to manage structure in and around tax leakage. But that’s as far as we have gone. Again I eluded in my comments to, Paul, we continue to closely study, we continue to closely work and we’ll be thorough in discipline as we work through those issues.
Charles Fishman - Morningstar: So, let’s say you have been trying to make a decision on this by later this year, third quarter, I believe you said, that would impact the amount of equity in ’15, if that were to occur?
Bob Skaggs: Well, speaking hypothetically, if we pursued an MLP that would be in-lieu of common equity.
Steve Smith: Right.
Charles Fishman - Morningstar: Well, okay.
Steve Smith: We’ll do one or the other?
Bob Skaggs: Yeah. Now size…
Charles Fishman - Morningstar: Okay.
Bob Skaggs: … as you would have to get there and make those determinations. But again hypothetically it would replace the need for common equity.
Charles Fishman - Morningstar: Just, Bob, I know, just in general, you have this new line going to an invest your customer in Virginia, is there other utilities talk about the impact of industrial growth, impact because of investors fair view of natural gas prices in the U.S. for an extended period of time, do you think I (inaudible) customer?
Bob Skaggs: These were -- I don’t want to speak directly, but we have seen environmental considerations drive certain projects of this nature. Now, obviously, they have a strong business but there are environmental considerations at play.
Charles Fishman - Morningstar: Okay. Thank you.
Bob Skaggs: Thank you.
Operator: Your next question comes from the line of Carl Kirst with BMO Capital. Please proceed.
Carl Kirst - BMO Capital: Thank you. Good morning, guys.
Bob Skaggs: Hey Carl.
Steve Smith: Hi.
Carl Kirst - BMO Capital: Hey. Just a couple of cleanup questions I have got, one going back to the Leach brand XPress and I guess maybe, can you queue up how you see the milestones going, you mentioned Bob, maybe spending in 2016, 2017, so I would think that would mean, if this project were to move forward for filing by the end of this year? And is this a project that FDU come out of the non-binding you would take sort of first [two precedent] agreements or would you go into -- directly into a binding open season and what might you think the timing of that might be?
Bob Skaggs: All right. You have got a lot of stuff going on that front. Wow! Hey. Let me just put it this way. We are still in active discussions. And so the scenarios around a binding open season, goings with the binding agreements, just premature at this point. We are speaking with the folks, potential anchor shippers. We think those discussions are going forward on an expedited basis but it’s still too early to say what the next steps are. I do think an FERC filing, I think you suggested mid-year, I don’t see that being feasible at all. But I do see possibilities that this could move on an expedited basis.
Carl Kirst - BMO Capital: Great. I appreciate the color. The second question, was just -- could you and I apologize if you had this in your opening commentary as I was taking notes down, but could you refresh my memory what the milestones are for the NIPSCO gas modernization as far as when we would expect to see a decision from the IURC?
Bob Skaggs: We believe we will see a decision on an outcome midyear of this year. Just a point of reference, we’re holding or the IURC is holding a hearing on the gas filing today as we speak in Indianapolis. Now, I would also make the observation that with yesterday’s order on the electric T disc, we certainly have gotten some instructions, some clarity, some insight, and hopefully that’s going to be helpful as we process the gas case.
Carl Kirst - BMO Capital: Excellent. Thanks so much.
Bob Skaggs: Yes.
Operator: Your next question comes from the line of John Edwards with Credit Suisse. Please proceed.
John Edwards - Crédit Suisse: Good morning, everybody. Just a sort of follow-up on the MLP question. It sounds like you are getting more comfortable with the possibility of the MLP option maybe and I don’t know if you had a comment on this at this point, but is there anything at this point that you think would prevent you from pursuing the MLP option?
Bob Skaggs: I think we just need to complete the process, working closely with the board and with the team and we need to work through the process.
John Edwards - Crédit Suisse: Okay. All right, great. That’s all I have. Thank you.
Bob Skaggs: Thank you.
Operator: (Operator Instructions) We have a follow-up question from the line of Charles Fishman with Morningstar. Please proceed.
Charles Fishman - Morningstar: Thank you. Just a quick follow-up. Last time, on the last call, you talked about the fact that with SB560 because it’s a new law in Indiana, there was a high probability that there would be some litigation, is that (inaudible) approval and order you’ve got yesterday reduce that or do you think that’s still the case?
Bob Skaggs: The decision yesterday was the product litigation. The case went through the hearing process, the briefing process, all phases of litigation, and so what the commission did was they acted on a complete record on the program and made the decision.
Charles Fishman - Morningstar: Okay. So there is very low probability or no probability of any continuing litigation on that?
Bob Skaggs: Well, parties would have the right to appeal and that sort of thing. We feel good about the order, we feel good the way the process unfolded, so we are bullish that we will be executing against the program beginning midyear.
Charles Fishman - Morningstar: Okay, fantastic. Thank you.
Bob Skaggs: Yes. Thanks.
Operator: Being that there are no remaining questions in queue, I would now like to turn the call back over to Mr. Bob Skaggs for closing remarks.
Bob Skaggs: Patrick, thanks so much and thanks to everyone for your participation today, your ongoing support of NiSource. And as we mentioned, we will communicate clearly and frequently. So thank you very much. Have a good day.